Operator: Good morning, everyone, and welcome to the Bio-Techne Earnings Conference Call for the Third Quarter of Fiscal Year 2018. At this time, all participants have been placed in a listen-only mode and the call will be opened for questions following management's prepared remarks. I'll remind you that today's call is being recorded. And now, it's my pleasure to turn the conference over to Mr. Jim Hippel, Bio-Techne's Chief Financial Officer. Please go ahead.
James T. Hippel - Bio-Techne Corp.: Great. Good morning and thank you for joining us. On the call with me this morning is Chuck Kummeth, Chief Executive Officer of Bio-Techne. Before we begin, let me briefly cover our Safe Harbor statement. Some of the comments made during this conference call may be considered forward-looking statements, including beliefs and expectations about the company's future results. The company's 10-K for fiscal year 2017 identifies certain factors that could cause the company's actual results to differ materially from those projected in the forward-looking statements made during this call. The company does not undertake to update any forward-looking statements as a result of any new information or future events or developments. The 10-K as well as the company's other SEC filings are available on the company's website within its Investor Relations section. During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to most comparable GAAP measures are available in the company's press release issued earlier this morning and on the Bio-Techne Corporation website at www.bio-techne.com. I'll now turn the call over to Chuck.
Charles R. Kummeth - Bio-Techne Corp.: Thanks, Jim; and good morning, everyone. Thank you for joining us for our third quarter conference call. Following exceptionally high growth quarter in Q2, I'm happy to report that Q3 with another solid quarter, keeping our year-to-date performance on track with our expectations for fiscal year 2018. The company delivered 7% organic revenue growth in the third quarter with growth continuing to be broad-based by product category, region and end-market. The one exception was our Biologics product line within our Protein Platforms Division, which had the toughest comps in the company with over 40% growth in the third quarter last year and nearly 30% growth in the first half of fiscal 2018. Our performance is strong on the bottom line as well with Q3 adjusted operating margins expanding 80 basis points over last year and a record adjusted EPS of $1.21 per share. Europe continued to deliver terrific results with Q3 organic growth in the high-single-digits. The full integration of ACD commercial operations with our European subsidiary was completed in the quarter, now with a single point of reference for order processing and distribution in the region. ACD sales teams have also been integrated with the rest of our European sales force, which should lead to acceleration of ACD's RNAscope customer allocation in the region, similar to what we have seen with Protein Platforms products after their integration with the Biotech sales force a couple of years ago. We now have over 150 employees in Europe with half of those in commercial. Also in Q3, we expanded our European subsidiary model by acquiring our primary distributor for blood control products in Europe. For our Diagnostics Division, this will be our new model to sell directly into the local EMEA market, using local resources. In addition to blood control products, we'll be looking to sell more of the entire Diagnostics Division products directly in Europe. Following a similar and successful venture with our Italian distributor, Space, in 2016, this model has been a proven way to accelerate our geographical expansion by adding skilled resources and infrastructure in those markets where we have not directly been present before. We have been talking about the strength of our subsidiary business model in Europe for many quarters now and our strong results bear this out. The synergies at cross-selling and commercial collaboration have been apparent here and we expect the model to benefit both ACD and our Diagnostics Division. As in Europe, our Asia region also broadly delivered great results in Q3. In China, growth of our products is over 20% in Q3, in line with our long-term expectations. Jim and I visited our China team, customers and business development prospects in March and came away as enthusiastic as ever about the long-term prospects for our industry, and, more importantly, our company in China. We are expanding our offices in both Shanghai and Beijing and building a new demo lab for ACD (04:02) in Beijing. The rest of Asia also performed very well in the quarter with Japan growing in the high-single-digits and the rest of APAC growing in the low-teens. Although a very small portion of our business today, we see India with its emerging and rapidly growing presence in biosimilars is a large opportunity in the future of Bio-Techne. In Q3, we took steps to strengthen our presence in the region by creating a local Indian subsidiary, with a country manager and salespeople to continue to invest in commercial activities and capture more of that opportunity. In the U.S., growth in the quarter was also broad in most of our product categories and end-markets. Strength in academic continued from what we experienced in Q2 with growth over 10%. The macro NIH funding environment is certainly a plus right now, but we're also executing well and leveraging investments we have made in online content, marketing and e-commerce capability. With the variability we had experienced with the Protein Platforms Biologics product line the past two quarters, we have seen similar variability in the BioPharma end-market, particularly in the U.S. In Q3, the U.S. BioPharma end-market grew low-single-digits; however, excluding the Biologics product line, growth for the quarter was high-single-digits. Also when you look at our growth in the U.S. BioPharma market year-to-date, it stands at 10%. Thus, we believe the BioPharma end-market in the U.S. is still doing very well for us and expect it will continue for some time. As we have said for many quarters now, the underlying market trends in both our BioPharma and academic end-markets remain strong. Now, for some more color on our Q3 performance by division. Our Biotech Division grew 7% organically in Q3, which brings its organic growth rate year-to-date to 9%, results that haven't been seen in a decade. Biotech's core products continue to perform very well with collective growth in the mid-single-digits. Stand-outs for the quarter continue to be our proteins, cell culture products, immunoassays and Novus-branded antibodies, all growing in the high-single-digits or higher in the case of our assay portfolio which is growing low-double-digits. New product innovation has been the key to the long-term success for our protein cell culture portfolio. As an example, this innovation can be found with the new product line we released in Q3 called MimEX GI. The MimEX GI platform is an innovative human tissue model system that utilizes the unique characteristics of adult ground-state stem cells to generate 3-D gastrointestinal epithelial tissue on a 2-D surface. 3-D cell culture and organoid models of the gastrointestinal epithelium are quickly being adopted for a variety of therapeutic research uses. Researchers using current 3-D models such as gastrointestinal organoids often experience difficulties with model variability, tissue viability, and experimental accessibility. Overcoming these obstacles is paramount for the logistical incorporation of 3-D tissues into high throughput toxicity and disease modeling workflows. Thus, the MimEX GI platform makes in vivo-like 3-D gastrointestinal tissue broadly accessible to both academic and industrial laboratories. Having better tools to study cell behavior is physiologically relevant – in physiologically relevant environments and high quality reagents increases researchers' confidence in the experimental findings. New innovative platforms like MimEX GI and our recent acquisitions of both Atlanta Biologics (sic) [Atlanta Biologicals] (07:16) and Trevigen, and its BME, basement membrane extract product line are excellent examples of how we are expanding our franchise in the cell culture, and, together, serving our customers more completely by leveraging Bio-Techne sales channels. With regards to assay, our recent success has, in part, been attributed to our commercial cross-platform immunoassay workflow campaign, whether it's dual-effects that are used in basic research, our gold standard single analyzer kits that are used as a performance benchmark for all other assays, high-quality multiplex assay needs or automated high sensitivity and reproducibility assay needs in the form of SimplePlex that is reported through our Protein Platforms and growing year-to-date nearly 100%. Bio-Techne has the broadest and highest quality assay platforms that give our customers choice in selecting a solution they need, and we are getting noticed. In antibodies, Bio-Techne was honored with the prestigious 2018 Cite Antibody [CiteAb] Award for Researchers' Choice. The Cite Antibody Awards aim to celebrate the very best suppliers and individuals in the research reagent sector worldwide and truly reflects what researchers think about the companies they use for their research. It was noted that Bio-Techne brands, including R&D Systems and Novus Biologicals, stood out for judges in this category, receiving numerous nominations for researchers around the world, outlining the excellent quality of products and standards of service they've experienced. And finally, there is ACD that continued its streak of rapid market adoption in Q3 with nearly 30% organic growth. The growth is terrific considering the big push that occurred in Q2 when they hit their $45 million annual earn-out milestone. ACD continued to expand its addressable market of its popular RNAscope in situ hybridization ISH technology with the launch of several new and improved assays with automation capabilities in Q3. The developments increased both access to and use of RNAscope, along with improving overall robustness and ease of use. We now sell over 15,000 different probes. The continued investment in automation builds on successful agreements with equipment providers and is driven by our desire to facilitate drug discovery and development via rapid, easy and accurate gene expression detection and localization. Moving on to Protein Platforms, the overall results in Q3 with 4% organic growth was not what we would like, but healthier than it may appear on the surface. With the exception of Biologics, all the divisions' major product categories, including Simple Western, SimplePlex, and Single Cell Western experienced solid double-digit growth in the third quarter. However, as I stated in my opening comments, Biologics has been leading the division with double-digit growth the past few years and faced a very tough comp in Q3. Perhaps a breather was in order. Year-to-date, the Biologics platform and the Protein Platforms Division overall have performed very well, racking up 20% organic growth over last year. The sales funnel for all Protein Platforms instruments is robust, and we still expect to see at least 15% growth for the division in fiscal 2018 and for years beyond. As we have said many times before, the market for Protein Platforms solutions are collectively approaching $2 billion, and we still have less than a 5% share. Thus, there's plenty of runway for continued double-digit growth well into the future. Next, our Diagnostics Division rebounded in Q3 with timing of orders this time contributing 7% organic growth in the quarter. Looking at 12-month trailing revenue growth for the division, which smooth outs the choppiness of large OEM orders, quarter-to-date revenue growth has been 6%, in line with the same growth rate of our hematology controls products in Q3, which gives us better insight into the current end-users demand given these products' short shelf life. Finally, I would like to comment on our strong operational income and EPS performance in Q3. We outperformed our expectations for adjusted operating margin due to solid productivity from our teams and a more favorable mix of robust high margin Biotech product sales. Adjusted EPS reflects this strong operational performance, but also includes nice tailwinds from tax reform and foreign exchange. We are very happy to remain on track with our strategic thesis towards 40% operating margins by 2021. In our GAAP reported earnings, we recognized a before tax $16 million impairment charge against our investments in Astute Medical. You will recall about 16 months ago we made a $40 million equity investment in this early-stage diagnostic company, focused on hospital-acquired acute conditions that require rapid diagnosis and risk assessment. As part of the investment, Bio-Techne will receive certain manufacturing rights for future products and royalties on diagnostic tests that contain Bio-Techne reagents. During Q3, Astute's board decided to sell the company with investment banker leading the process. While we still believe in Astute's underlying technology and need for acute kidney injury prevention in hospitals, it was our assessment that the investment required going forward to successfully bring this diagnostic to market did not meet our return on capital requirement. Thus, we ultimately passed on further participating in the sales process. And Astute was eventually sold to another party. We still maintain our manufacturing and royalty rights received as part of our original investment, which we intend to capitalize on. And we hope for a bright future for Astute under its new ownership as well as for the thousands of potential patients that their NephroCheck Test can help to prevent acute kidney injury while in a hospital for medical care. As Jim will point out when he covers the details of our Q3 financial performance, we have other investments that are performing exceptionally well, even if not reflected directly in our earnings. Jim?
James T. Hippel - Bio-Techne Corp.: That's right, Chuck. Thanks. But, first, I'll provide an overview of our Q3 financial performance for the total company and then provide some color on each of our three segments. Starting with the overall third quarter financial performance, adjusted EPS increased 25% to $1.21, while GAAP EPS for the quarter was $0.52 compared to $0.59 in the prior year. The decrease in GAAP EPS is driven by the impairment charge on our investment in Astute that Chuck mentioned, which had an impact of approximately $0.32. Q3 reported revenue was $164 million, an increase of 14% year-over-year, with organic revenue increasing 7%. Third quarter reported sales include a 3% growth contribution from acquisitions and a 4% contribution from favorable foreign exchange translation. Organic growth year-to-date for the fiscal year is nearly 10%, by far the best since this management teams come to Bio-Techne. By geography, the U.S. grew in the mid-single-digits, with BioPharma growth in the low-single-digits and academic growing over 10%. As Chuck noted, excluding Protein Platforms Biologics product line, growth in the BioPharma and the U.S. region overall was in the high-single-digits for the quarter. Europe's organic growth continue to be strong at high-single-digit growth overall, with the BioPharma end-markets growing in the mid-single-digits and academic growing over 10%, as it did in the U.S. In Asia, China's organic growth was over 20% in the third quarter, while Japan grew in the high-single-digits and the rest of Asia-Pac grew in the low-teens. Note that all references made to growth rates by region and end-markets exclude our OEM sales, which mostly occur in our Diagnostics segment, and, to a lesser extent, our Biotech segment. Moving on to the details of the P&L. Total company adjusted gross margin was 72% in Q3, up approximately 120 basis points from the prior year due to volume leverage, operational productivity and favorable FX, partially offset by lower margin acquisitions. Adjusted SG&A in Q3 was 25.5% of revenue, 160 basis points higher than last year, but down 70 basis points sequentially from last quarter. The SG&A increase was driven by the timing of investments made in the core business to support growth and from the additional SG&A of our recent acquisitions. R&D expense in Q3 was 8.5% of revenue, down 110 basis points from prior year due to volume leverage. The resulting adjusted operating margin for Q3 was 38.1%, an increase of approximately 80 basis points from the prior-year period. Looking at our numbers below operating income, net interest expense in Q3 was $2.3 million, compared to $2 million of net interest expense last year. The higher interest expense is driven by multiple rate increases in the past year on our outstanding line of credit. Other non-operating income for the quarter was $0.5 million compared to $0.3 million net spent in the prior year quarter. The year-over-year change is due to transactional FX gains this year, which did not occur in the prior year quarter. Also included in other non-operating for GAAP purposes is $16.2 million impairment charge on our investment in Astute. As Chuck mentioned, an agreement to sell the company was signed in Q3, triggering the timing of the impairment charge. The transaction closed in the first week of April and we have since received $22.5 million of net proceeds. There remains another $1.3 million held in escrow, net of allowance reserve. Our adjusted effective tax rate in Q3 was approximately 24%, over a 5 percentage point improvement from the prior year due to tax reform. For the remainder of fiscal year 2018, we still expect our adjusted effective tax rate to be around 25% plus or minus 100 basis points. In terms of returning capital, we continue to pay our dividend and paid out $12 million in the quarter. Average diluted shares increased less than 2% over the year-ago period at 38.1 million shares outstanding. Turning to cash flow and the balance sheet, $21.6 million of cash was generated from operations in the third quarter and our investment in capital expenditures was $3.5 million. We also made approximately $56 million in new M&A investment during the quarter associated with the acquisitions of Atlanta Biologics (sic) [Atlanta Biologicals] (16:48) and Eurocell. As Chuck reminded us in his commentary, ACD achieved their revenue milestone at the end of Q2 and the resulting $50 million earn-out was paid in Q3. For GAAP purposes on the statement of cash flows, a portion of the earn-out is charged to the cash flow from operations, while the remainder is recorded as a financing activity. Management view the earn-out as well as the purchase price paid for the acquisition of ACD, thus management view the cash outflow as an investment rather than operational and financing cash activity. Excluding the acquisition earn-out payment for ACD, our adjusted cash flow from operations for the quarter was $47.8 million, up 42% over the same quarter last year. Year-to-date, our adjusted cash flow from operations stands at $131.7 million, which is 30% higher than at this point in time last year. Both the Q3 and year-to-date adjusted operating cash flow demonstrate the strong quality of our earnings. On our balance sheet, we ended the quarter with $176.4 million of cash and short-term available for sale investment. Included in that figure is our investment in ChemoCentryx, which had a market value of over $86 million at the end of Q3, representing a nearly $55 million before-tax built-in gain. Currently, GAAP requires changes in valuation of investments in publicly traded securities to be reflected in the equity section of the balance sheet until the investment is sold. Our long-term debt obligations at the end of Q3 stood at $392.5 million, up $30 million from the end of Q2 as we drew down our line of credits to partially fund the ACD earn-out paid during the quarter. Our debt-to-EBITDA ratio as defined by our bank debt covenants stands at approximately 1.4 times EBITDA. Going forward, our capital deployment priorities remain opportunistic M&A, our dividend and debt paydown. Now, I'll discuss the performance of our three business segments, starting with the Biotechnology segment. Q3 reported sales were $110 million with reported revenue increasing 16%, acquisitions contributed 4% to revenue growth, foreign exchange contributed 5% and organic growth was 7% with solid growth across all major product categories. Year-to-date, organic growth for the segment stands at 9%. Operating margin for the Biotech segment was 48.2%, an increase of 20 basis points year-over-year. Core Biotech operating margin increased 60 basis points over last year, while operating margin contribution from ACD's products was in the mid-teens compared to a slight operating loss in the prior year. Strong volume leverage partially offset by portfolio mix, strategic investments to support growth and the impact from recent acquisitions drove the margin expansion. Turning to the Protein Platforms segment, net sales in Q3 were $25.5 million, a total increase of 8% from the prior-year period. Organic growth for the segment was 4%, with currency translation having a favorable impact of 4%. Double-digit growth was experienced in all major product categories with the exception of Biologics, which had a very difficult comp this quarter considering it grew 40% in the same quarter last year. Year-to-date, organic growth for the segment stands at 20%. Operating margin for the Protein Platforms segment was 9.6%, down from 13.8% reported last year. The lower adjusted operating margin was driven by the timing of additional investments in global commercial resources and administrative infrastructure, which has supported the segment's year-to-date 20% organic revenue growth. The operating margin for the segment year-to-date is 14.6%, 640 basis points better than at the same point last year and we expect it will continue to improve from here. Moving on to our Diagnostics segment, reported revenue in Q3 was $28.5 million with reported growth over 9%. Organic growth increased 7% from the prior year, while acquisitions contributed 2%. As Chuck explained in his comments, the timing of OEM shipments was more favorable this quarter and the segment's more run rate-based hematology controls product category experienced similar growth in the mid-single-digit. At 28%, the Diagnostics segment operating margin improved dramatically from prior quarter and compared to prior year was up over 500 basis points. The margin improvement was due to volume leverage and favorable OEM product mix. We expect margins to be similar in Q4 for this segment as we close out the fiscal year. In summary for the quarter, our breadth of growth continues to be solid, both in terms of end-market and product category. We've talked about Protein Platforms Biologics products as being the exception, but given the extremely tough comps this product category faced in Q3, we are not deterred by its continued growth potential. The double-digit growth rates we've come to expect from Protein Platforms we believe are far from over. Our operational profitability was in line with our expectations, even slightly ahead due to the favorable mix of Biotech segment revenue growth this quarter. Our very strong cash flow performance demonstrated the quality of our earnings. On the bottom-line, tax reform continues to be a real positive for Bio-Techne and will bolster our future cash flows and enhance our strategy of investing for growth, both internally and externally as the opportunity arises. Our view for the remainder of the fiscal year and the rest of calendar year 2018 remains upbeat. Our end-markets are healthy on a global basis and our teams are executing very well. Thus we expect, overall company organic growth rates to remain in the high-single-digit range. With regard to profitability, as we close our fiscal year 2018, our view hasn't changed in the past several quarters. Total company adjusted operating margins should sequentially rise in Q4 as it did in Q3 and be on par, if not slightly ahead, of last year's margin performance. That concludes my prepared comments. And with that, I'll turn the call back over to Chuck before we open the line for questions.
Charles R. Kummeth - Bio-Techne Corp.: Thanks, Jim. Before we go to questions I'd be remiss if I didn't mention the announcement we made last week regarding a new executive who joined the Bio-Techne team on Monday. Kim Kelderman will be our new President of Diagnostics and Genomics and will lead the group, including our Diagnostics business, while also developing our strategic initiatives in Genomics and Genomics-based diagnostics. As you've heard me say many times before, in addition to our current Diagnostics Division, which focuses on providing the tools that help make our Diagnostics OEM customers successful, our company has many opportunities to participate on a Grander Scale in the diagnostics market. We are a global leader in assay development, both in proteomics, but now also in genomics with ACD. Kim will be tasked to developing a strategic roadmap that will bridge our renowned excellence in assays and reagents for the research and hospital markets into that of the diagnostics market. This could result in future reorganization of some of our business structure and/or heightened acquisition focused on external diagnostic and genomic targets. Kim Kelderman is joining Bio-Techne from Thermo Fisher where he led three different businesses of increasing scale and complexity. Most recently, he managed the platforms and content of the Genetic Science Division, which has revenues well over $1 billion. Before joining Thermo Fisher, Kim served as a senior segment leader at Becton Dickinson and worked also for a start-up molecular diagnostics company which Becton Dickinson acquired in 2006. I hired Kim during my time at Thermo Fisher, and I know first-hand the strong global perspective he brings to our leadership team and what a catalyst he is for positive change in people and in business processes. He is an excellent change agent and operating executive. And I'm very excited to have Kim on board, and he will be a great addition to our executive team. With that, I'll turn the call back over to the operator, and we'll open the line for questions.
Operator: Thank you, sir. And we'll go first to Dan Arias at Citi.
Daniel Arias - Citigroup Global Markets, Inc.: Hey, good morning. Thank you. Chuck, maybe I'll just start on Biologics. Obviously, a pharma-focused business there, tough comp, and you saw some good activity in calendar 4Q. Do you think this was sort of a catch-up on that? What are you feeling like the pause in Biologics kind of specifically was all about? And what do you think about the rebound potential for that piece next quarter? Do you have visibility there at all?
Charles R. Kummeth - Bio-Techne Corp.: We have some, and of course we've been digging into it. We had some – as you know, it's lumpier, being this is the most expensive income platform that we have. And a lot of these sales come at the very end of the quarter. At the very end of the quarter, is also the latest budget signature and there were some fallouts there. We also had, we feel, some pull in from the previous quarter. We had well over 30% growth last quarter in that category and for the year, we're at 30% growth. So if it happens two three, four quarters in a row, yeah, we've got more to worry about, but I'm not worried at all. This is nothing like the first year after we acquired Protein Platforms, where everything was kind of off and we had issues at Simple Western and really everything across the board. This is the only blip, we think it's short-term, we do think we'll end the year strong, double-digit, 15-plus north. And we do think that, as Jim outlined, our markets – our share positions are still so small, I think there's no issue. And we do – this is one different platform that we have though, compared to like Simple Western and others, where we have really kind of unique and fundamental IP. Here, we compete and we're competing against some big guys. And we've been doing so well on taking share the last couple years, they've woken up a little bit. So we've got to compete a little better, we've got to do a little bit harder work in promoting. And that's underway, and then we actually have a pretty strong start this quarter, but we'll see. We're not too concerned to be honest. But I'd be more concerned if Simple Western we're off at flat, but that's still heavy double-digit. And we're still seeing the acceleration in that whole platform as we get critical mass to be honest, so.
Daniel Arias - Citigroup Global Markets, Inc.: Right. Okay, maybe to that point, I mean you – one of the things you talked about is just penetration on the academic and the pharma side of that market, are you seeing better penetration on the academic side, which I think is a little bit more price sensitive? And can you just talk about how the sales process is going when you think about customer sensitivities for the Simple products?
Charles R. Kummeth - Bio-Techne Corp.: Well, to be really frank, we're still kind of astounded how well we're doing in academic markets. And that's from a lot of reasons, great execution and great website execution, great e-commerce execution. The collaboration in our channels with our direct sales force is helping a lot there. And then Fisher is helping a lot. So Fisher has kind of been back on track. All told, it's high-single-digit, close to 10%-ish, which is – we just haven't ever been there just since this past year. So the blip, as Jim pointed out in BioPharma, was really almost all the Biologics. And we're talking a couple million bucks here, that's really all that fell out, and hopefully get that all back here. But you take that out, we're still high-single-digits in BioPharma as well. We've seen a nice recovery there from about a year ago now when we had timing issues with assays and ELISA. That's all fairly strong again. Our assay category SimplePlex, SimplePlex is growing 85% year-to-date. We expect that to be a 50% – a north of 50% growth platform going forward as it gets more and more critical mass. And this is the end of the fiscal year be close to – probably not – quite close to a $15 million business. So it's starting to become real material to our company.
Daniel Arias - Citigroup Global Markets, Inc.: Okay. If I could just ask one more on the margin outlook. Jim, nice improvement this quarter. I know we're not talking about next year yet, but it does seem like at least organically the business is in a place to start seeing some profitability gains as the smaller businesses mature a bit. Is that a fair way to think about things as you start to sort of contemplate periods beyond 2018?
James T. Hippel - Bio-Techne Corp.: It is. I mean, we're just now starting to get into our planning process, our detailed planning process for next year. But the expectations that we're setting for our team going forward, when you add it all up from a total company perspective, hopefully I'd say modest margin expansion next year, but somewhere in the 50 basis point range.
Daniel Arias - Citigroup Global Markets, Inc.: Okay. Thanks very much.
Charles R. Kummeth - Bio-Techne Corp.: Thanks, Dan. The issue to keep your eye on though, is our strategic thesis of getting back to 40% by 2021. And the last couple quarters, we've been talking about being a little bit ahead of plan on there. And then this quarter was no exception, a strong mix, a strong performance and then Biotech gave us an extra uplift here. So we're thrilled to be over 38%.
Operator: And we'll take the next question from Dan Leonard at Deutsche Bank.
Mike Sarcone - Deutsche Bank Securities, Inc.: Hey, guys. This is Mike Sarcone on for Dan Leonard. Good morning.
Charles R. Kummeth - Bio-Techne Corp.: Morning.
Mike Sarcone - Deutsche Bank Securities, Inc.: So my first question just on China. Can you give us a little bit more color on the performance there? And then also comment on any exposure you might have to potential trade tariffs with China?
Charles R. Kummeth - Bio-Techne Corp.: Yeah. We have very little trade tariff. We have some on our small molecule section, but we can be moving that to its origin from – to its source origin, which is our – which is Bristol, England. So we don't have a lot of concern on tariffs at all. We're not that big in China anyway to be honest. So we're knocking the door, being a $50 million business there, which is up a lot in four, five years from $10 million, $12 million, but the growth rate is north of 20%. We've, starting last quarter really back on track, annualized the issues we have behind us concerning the Baidu scandal and the erosion due to the immunotherapeutic integration product for hospital markets in China. So that's all good. Our core products, R&D branded systems are all growing quite well. We're actually seeing really nice growth beginning again with our PrimeGene brand China for China strategy, even outside of just therapeutic areas. So a pretty good story right there, right now.
Mike Sarcone - Deutsche Bank Securities, Inc.: Got it. Thank you.
Charles R. Kummeth - Bio-Techne Corp.: As well as in Japan (30:35). High-single-digit, we continue to be rolling in Japan. We're happy about that and APAC was double-digit. So Asia's all good right now.
Mike Sarcone - Deutsche Bank Securities, Inc.: Great. Thanks. And then, just on (30:49) you guys had nice performance this quarter in both the U.S. and internationally. Can you just comment on the sustainability of growth there in your outlook?
Charles R. Kummeth - Bio-Techne Corp.: Well, let me start with Japan, because everyone's worried about Japan doing some flip-flop on us. We had a couple of good solid years of, let's just call it out, straight erosion in Japan and we've been coming back pretty strong. A lot of it's coming from our products and our integration of products into the stem cell markets, in cell culture markets in Japan. We're obviously affiliated with the IPS stem cell areas as well and all that's – actually, it's just doing really, really well and I think their budgets are decent finally once they've got their AMED process in place. The rest of Asia is strong. Biosimilars in Asia are really helping us as well as helping everybody, right. So we're strong in Korea, we're strong in China and we're starting to get going and get traction in India. We have a 60%-plus growth targets in India for the foreseeable future and it's small base. So with my team, it should probably be higher. So it's all pretty good story. Europe, it's high-single-digits, it's been good, it's still already largely related to execution and continued collaboration and integration of our teams. We're now bringing Diagnostics Division people into the family fold over there and that's working quite well, too. I think as far as I know, the funding and the project timing with Biotech, there's a lot more Biotech for us in Europe. All remains pretty strong, pretty healthy as the timing of our projects is pretty healthy. If we are probably off anywhere, we're probably off a little bit in timing of some OEM areas and we had some really large orders a year ago in SimplePlex and cartridges, so that's why we didn't have quite as high numbers in SimplePlex which also deterred the overall number for Protein Platforms and we're still well north of 20% growth. And we're at 85% for the year. So we're not concerned either with that. So all told, we see our market's holding pretty well. U.S., also I think, we mentioned in our comments, NIH funding is obviously very good right now. I think just the acceleration of our brand and our image and our critical mass and our commercial sales force is all working very well. Biotech is – if you look back last couple of years in Biotech, we just are getting better and better and better back in our home turf and the R&D Systems brand is a gold standard and we're leveraging and it's working.
Mike Sarcone - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: And we'll move next to Puneet Souda at Leerink Partners.
Puneet Souda - Leerink Partners LLC: Yeah. Hi, Chuck. Thanks for taking the question. So my first question is around just Biologics. I just want to get a bit more clarity. Is this squarely MFI and iCE platforms? And you mentioned competition there, so could you elaborate on that? Are these more sophisticated technologies like LC-MS or UVs that are coming in here competing? Or what's your sense? And how do you get back to those growth rates, given the potential competition there?
Charles R. Kummeth - Bio-Techne Corp.: It's entirely in iCE and it's partially iCE, partially Maurice, the new platform, right. So when we've launched Maurice, it had both size and charge. Historically, we're a charge-based instrument and our competition had both, right? And so we went after them, they worked quite well of taking some share. We also took the iCE280 out of service, which also gave us probably some more uptick there maybe a year-and-a-half, two years ago. So there's some of that as well. Where we're seeing the competition has been one large company, it's Beckman Coulter who really is the more or less the process of record where we compete and that's where we haven't taken share, they have out-shared us by a large margin. So we still feel very confident of continuing to work towards growing. It is a great market. I think there's room for growth for everybody us, including no matter what happens, but they are competing more – the last quarter here we see in price – like I said, they've kind of woken up, they see us now becoming more of a threat because we are, it's becoming a sizable business. There is also competition in other existing applications like HPLC where we also can use the instruments in processes. So there's some of that happening as well. And then there's other integration that we have to get this instrument platform more mainstream, in more Lim's environments, like Impalas and Chameleon stuff, that's in development. So all that's happening, we're not that concerned, not yet anyway. I think it's more of a blip when you come off the results we've had the last year in this platform. It stands to reason. And again, I'll point it out, we were at 33% growth in this division last quarter. There was definitely little bit of pull ahead. So I think that stands to reason. Now, if we show flat to 4% next quarter, it'll be a different discussion, but we don't see that right now. I think it will be much healthier.
Puneet Souda - Leerink Partners LLC: Okay. Okay. Thanks for that. And on ACD, I just wanted to get a clarity, this is the 30% in the quarter. What your expectations are of near to midterm here? And what's your sense on the sales force overall? Are you happy with the sales force makeup right now and is that enough to drive accelerated growth here?
Charles R. Kummeth - Bio-Techne Corp.: I think you've got to remember a couple of things. We had with the team locally calls the Super Bowl event just occurred. So we had an 18 months' full team, full court pressed towards the $45 million milestone. And with our management, and we've had a management transition since that milestone has been achieved. So we have to transition to new leadership there from Tom, and get everybody back on track that we didn't win the game, it's not over, it's just one innings of you guys and it's great you hit your milestone, and you're all getting paid. But we got to stay on top of things. So there's a little bit of that. And I think we're through them. We still perform at 30% growth. To be honest, I thought it could be much worse given there were clearly pull ahead to go as there always is in reaching milestone, right. People are always going to do that, we're just human. So going forward, we still see it, and we've been saying it, it's a 35% plus game for quite some time. I'd like to say 40%, I'd say it's 35% to 40% until we know more about our process going forward. But it should be north of 30% for sure. So we think it's quite healthy, it's still a big, big area. We have new applications coming with the platform. We are obviously accelerating with the automation partners in Diagnostics. So it's a very good story. It remains – it was this quarter, it will remain to be so.
Puneet Souda - Leerink Partners LLC: Okay. And then, just last one on...
Charles R. Kummeth - Bio-Techne Corp.: You said they're hiring too. They're probably a little better on track this quarter in hiring versus last quarter. And we're pushing on that. So there are about 160 people, which is a little over double when we bought them. And for this coming year, we expect them to add 20, 25, 30 people, probably largely commercial and technically FAS is commercial.
Puneet Souda - Leerink Partners LLC: Okay. That's very helpful. Thanks for the color. And just last one, you already have a great collaboration with Leica here, could you update us where do you stand with VENTANA right now, obviously that's the larger piece of the market?
Charles R. Kummeth - Bio-Techne Corp.: Well, we're still working with them and we're working both sides top-down with the management as well as bottoms-up with shaming them to come to the table by basically using our FASes in the field to tune in their instruments to use our products and then we have their either customers to go back to VENTANA saying we need to have this integrated, because it worked really great. So that's all working pretty well and there is (38:31) we're talking to. I do believe this will be a standard in a few years. And if it remains for them to become great partners in automation or we'll do automation ourselves, so one or the other. So the growth is there, the profits are there, this is north of 80% growth margin kind of platform as we've talked about. So there's plenty to work with there to build this into a very, very fulfilling division of the company. And obviously, we're not afraid of any instruments. So we'll take care of ourselves if we have to. But so far so good with Leica, we're quite friendly with the executives there as well as the Danaher and General of course, so. I've got great hopes and I do hope VENTANA will come on board more seriously as we go forward here. But not much yet, most of what we're getting at VENTANA is the work we're doing in the field with their machines with our people.
Puneet Souda - Leerink Partners LLC: Okay, thanks. Thanks very helpful. Thank you.
Operator: And moving next to Amanda Murphy at William Blair.
Amanda L. Murphy - William Blair & Co. LLC: Hi. Good morning. I actually have two sort of longer-term questions for you, Chuck. So I guess, starting with China. So obviously, a lot of growth there. And I'm just wondering if you can remind us how big of a business that is now and thinking forward over the next three to five years. So for some of your comparable companies, China is quite large as a percentage of revenues. So just wondering how big you think that business can become relative to the overall pie, if you will?
Charles R. Kummeth - Bio-Techne Corp.: Yeah. Well, as I've mentioned many times and it's really one of the reasons I was hired here to begin with. I have a lot of experience in China, have run and built a lot of businesses in China. I love China. I go there three times a year. My entire executive team travels there quite a lot and all of them have experience in China. So taking that business from roughly $12 million five years ago to nearly $50 million now, as complete company, it's great, but it's still small, right, per our backgrounds. There's a lot – a long way to go. It will come through organic, it will come through acquisition. We are looking for more China to China acquisitions. The whole area knows our brand. We have all these sea turtles who went home that grew up here in the U.S., got their PhDs here, and worked 20 years here, then went home and have all this funding. They know R&D Systems, and that's why we continue to see 20%, 25%, 30% growth quarter-on-quarter. We have the PrimeGene China for China and we've worked our – through our blip there, that's on track. Even their business there has actually tripled in the last three years since we bought them. So taking out the therapeutic part of the business, that is coming back slowly with the CFDA approvals coming online. So I still remain bullish. I personally think we should be growing 30% plus. It's just, there's a lot of area, there's a lot of space. You can only grow so fast, you have to do it city by city, team by team, office by office. We're expanding heavily now in the Beijing, that office, and we'll expand there. All of our R&D in Asia and China, (41:33) is actually in Beijing, where most of our other critical masses are in Shanghai. So that'll be nice to start balancing things out. And we're doing more things in other cities now. We're getting more people into Hangzhou of course which is – there's a lot of excitement in Hangzhou these days and Shenzhen and other areas. So I still see easily 20% plus growth and hopefully 25%. So...
Amanda L. Murphy - William Blair & Co. LLC: Got it. Okay. And then maybe one for Jim. So at the Analyst Day, I guess this was couple years ago or a year ago you guys outlined some longer-term targets. I think it was $850 million kind of with the current portfolio and $1 billion over a five-year period. I just was curious, fast forwarding now, how you're thinking about those numbers. Are you still comfortable with them? You've done a few smaller acquisitions and since then. So just trying to get an update on how you're kind of progressing to the longer-term goals in your mind? Thank you.
James T. Hippel - Bio-Techne Corp.: Yeah. I'll just simply – sure. I'll just simply say, Amanda, that I think we're on track. I think we're right on track to where we want to be at this point in time to hit those goals. And we hope to actually beat them, but definitely on track at least meet them.
Amanda L. Murphy - William Blair & Co. LLC: Okay. Thanks very much.
Operator: We'll go next to Catherine Schulte at Baird.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Hey, guys. Thanks for the questions. I was just curious to get more details on the additional commercial and infrastructure investments you referenced making on the Protein Platforms side. Is that primarily a sales force expansion?
Charles R. Kummeth - Bio-Techne Corp.: It is probably across the board there. We've got four – actually six solid instrument platforms (43:46), and so we're continually beefing up our R&D in software areas. Getting compatible with Empower and Chameleon (43:56) takes more software people, so we're beefing up technically as well as commercially, and we've never stopped the pace commercially. So we're currently well over 300 employees and probably on our way to 400 in the next year to year and a half or so. And this was roughly 150 when we bought it, so more than double. We moved into a new building just as we bought the company and we still have plenty of room for expansion there as well. So we're good there, but it's a beautiful site and we're hiring and growing. Last quarter, we didn't hire enough and you saw that reflected in our numbers. And this quarter a little bit of catch-up there so but we're on track there. I'd rather focus on capturing growth and planning for the future with really good solid growth and getting the team in place than worrying about an extra point or two of margin on these accelerating businesses, so.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Okay. That's helpful. And then any color on how the Trevigen and Atlanta acquisition performed in the quarter relative to your expectations?
Charles R. Kummeth - Bio-Techne Corp.: Well, we had the usual thing that happens, you pick up something like this and you have to integrate into your distributors and there's obviously a little breakage there. We actually are quite happy with how things have transitioned. Atlanta is going quite well. I'm really excited about how fast that's transitioning in turn, because this is a little more – a little easier since it's U.S. only right now. So the big work becomes how we leverage and take these product lines globally, which we're working on. So they're both real small teams, but we've got our people in there. We're helping. They're already starting to build leverage, the bigger Bio-Techne is in front, and that's good and it's good for morale. And I'd just say stay tuned. The whole cell culture franchise they're working on is a top priority for the company. So we're continuing to look in that space. We're hopefully going to buy more things in that space and organically invest in that space, so.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Great. Thank you.
Operator: And we'll go next to Matt Hewitt at Craig-Hallum.
Matthew G. Hewitt - Craig-Hallum Capital Group LLC: Good morning, gentlemen. Maybe blend a couple of the key topics so far in the Q&A, Asia and ACD, what are you seeing as far as an opportunity set there, where are you going to be driving more investment, particularly with ACD in Asia? And how do you see that playing out over the next few years?
Charles R. Kummeth - Bio-Techne Corp.: Well, when you balance between 30% and 50% growth, it's where do you want to focus, everything growing on all cylinders. So I would say the potential – who is the farthest behind is the region is maybe your question, I would say Asia right now is the most potential. And we're expanding by percentage in head count the most there. And as I mentioned, we're putting in a demo center in Beijing, we're expanding the team there significantly. Europe always has been pretty good and is growing quite well, and then the U.S. is where the bigger market is, and we just have to keep feeding that at least. So it's been a good model, Tom Olynyk (46:36), running it has years experience in this company, in this field. And we have had very little turnover at all since the milestone, this is a Silicon Valley company, you meet your milestones and you worry about Valley people leaving, running to the next start-up, the next lottery ticket and we did much better than we thought in terms of attrition. So that's all very good. And then I'd just say stay tuned. Pretty much whatever they ask for right now which they're pretty concerned, we kind of give them.
Matthew G. Hewitt - Craig-Hallum Capital Group LLC: Okay. Great. Thank you.
Operator: And we'll hear from Paul Knight next with Janney Montgomery Scott.
Carolina Ibanez Ventoso - Janney Montgomery Scott LLC: Hi. This is Carolina Ibanez Ventoso for Paul Knight. A follow-up question on the expansion of addressable markets for ACD. I wonder what is the initial response from pathologists and if you can elaborate a bit more on your approach to penetrate the pathology market since this represents a new end-market for you?
Charles R. Kummeth - Bio-Techne Corp.: Yeah. Well, it's important. I think the whole Diagnostics side of the business model, we think, Leica is to be honest has actually been slower than we'd like. We're still growing mostly probably in BioPharma and the products are being used really in the clinicals and checking out their drugs, so to speak. So great growth. We can design a probe for somebody in two weeks. We have over 15,000. So we continue to build on accounts of the business. We also will continue to build on new accounts. There's a lot of new business activity all the time. And that's why we have such focus on the commercial side of things. And it is an awareness issue, too, getting these pathologists and getting researchers in pathology – with drugs, with BioPharma to actually move from iCE from that type of pathology to molecular pathology is it takes great data and great results, which we have. I haven't checked the paper count, but it was 1,100 or so, maybe near 1,200 papers. It's exploding. The bottom line is these people get – especially the academics, they get a hold of stuff, they work so well. They want to write about it and show off their findings. And we outpaced every other area, including Protein Platforms in terms of paper. So that's a kind of – this is what we're looking for to help move the needle on adoption. And again, it's such a big market that there's plenty of room to grow here for quite some time we think so without automation and I made comments on automation. With automation, it's just going to get better.
Carolina Ibanez Ventoso - Janney Montgomery Scott LLC: Okay. Great. Thank you.
Operator: And gentlemen, it looks like there are no additional questions at this time. I'll turn the program back over to you for any additional or concluding remarks.
Charles R. Kummeth - Bio-Techne Corp.: No. I guess, that's it for now. It was a pretty solid quarter for us we felt. We beat top and bottom line. We had great margins. We're ahead of schedule there. We have one area to work on obviously, but I'd rather have just that and have something across the board. We really have a very successful business and numbers year-to-date. This is going to be a banner year for this company. It's going to be a record year really on all cylinders. So hang tight, we're hoping for good Q4 and we'll talk to you then. Thanks.
Operator: And ladies and gentlemen, once again, that does conclude today's conference. And again, I'd like to thank everyone for joining us today.